Operator: Good evening. This is the Chorus Call conference operator. Welcome, and thank you for joining the Campari Group First Quarter 2025 Results Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Simon Hunt, CEO; and Mr. Paolo Marchesini, CFO, OO, Campari. Please go ahead.
Simon Hunt: Great. Thank you very much. Good evening, good afternoon to everyone. Thank you for joining us on this call, my second one, where we're going to review our Q1 results and give our perspectives on the remainder of the year. As always, Paolo is here with me and our IR team, Chiara and Gulse are happy to connect after the call to further deep dive with all of you in the upcoming days as necessary. So now a short summary of how we see the environment and our positioning. It's been quite an exciting 10 weeks since our last call. And to summarize our performance, I can say that we continue to record outperformance in sell-out across most geographies with a strong bounce back in April in markets impacted by Easter timing as expected. This clearly shows the strength of our brands even in challenging times. On the financial performance, recognizing in our smallest and lower seasonality quarter, apart from the flagged Easter timing impact, we also had 3 things: first, the additional negative impact of the macroeconomic volatility that affected ordering patterns; second, some logistic delays on some of our March shipments, of which several shipments went out in early April; and finally, the phasing of investment, as previously guided on both A&P and SG&A. And we'll dive more into the drivers of the top line on the next page. What is most important is that we're taking a prudent approach in this backdrop with focus on long-term brand building and tight management of what we can control. This means protecting the present and positioning effectively for the future. On costs, we're on track with our cost containment program to release the benefits starting in H2 as previously guided. Business investments in terms of A&P are continuing as we ramp up for our most important season. And on CapEx, we're on track to complete our extraordinary program, primarily for production capacity expansion. At the same time, balance sheet discipline is critical with ongoing management of debt position to get our leverage to normalized levels, supported by no acquisitions and progress on portfolio streamlining. In terms of portfolio, we are focusing on geographic expansion of our brands to further increase our geographic diversification. And this will be done by utilizing our existing footprint following investments in route to market made over the last couple of years. In Q1, in fact, we recorded significant double-digit growth in more than 10 less developed markets globally. On the commercial front, our key priority is to ensure the quality of our execution and maintaining our pricing discipline. So let's move to the next page to deep dive the net sales drivers for this quarter. We recorded negative 4.2% organic net sales growth, which equates to a decrease of EUR 28 million in absolute terms. Of this, EUR 21 million is down to phasing, of which EUR 10 million is Easter timing and EUR 11 million is temporary logistic delays in the U.S. in terms of replenishing our stocks, which will reverse in the remainder of the year, and in fact, a lot has already been recovered in April. As a result, we are seeing encouraging trends in April on our priority brands despite the ongoing volatility. This means that the underlying performance of the business was closer to 1.1% or EUR 7 million down, and this was driven by 3 things: first, slightly higher-than-expected impact on the news flow from the U.S. Second, a decrease in bulk sales activity in the U.K. On bulk despite its small size in our portfolio at 1% of total sales, the impact for this quarter was significant at EUR 4 million. So if you take this out, we're actually EUR 3 million down on a full sales on a full year of over EUR 3 billion. And apart from these impacts, 70% of our portfolio covering the rest of the world continued to grow with a plus 1% overall. So now moving on to the all-important sell-out data. Now looking at the sell-out data, as I mentioned, how our performance continued across almost all markets, especially with a strong bounce back in April in markets impacted by Easter timing, as you will have seen. And we're being disciplined on our price mix given the uncertain market backdrop. In the U.S., especially in the strategic. We continue to see solid trends driven by Aperol and by EspolÃ²n at plus 12% and plus 14%, respectively. In Europe, again, our outperformance is continuing with plus 1% growth versus negative 2% in the sector in Q1. And looking especially at the year-to-date data as of April, which neutralizes the impact of Easter, there is a solid growth and a significant delta versus the sector. In Germany, we're plus 8% versus the sector of minus 1%. In the U.K., we are plus 13% versus the sector of minus 1%. Italy, where we have a large market share is trending almost in line with the sector, but we are growing. And with plus 4% on Aperol and we have a strong focus on activations ahead of the peak season ongoing at the moment with launch of new campaigns on Aperol, Crodino and Campari Soda. I'll pass this page quickly as we've already commented on the overall trends in our net sales, and we'll deep dive one by one into the regions and houses in the upcoming pages. But overall, total net sales growth was 0.3% in Q1 with an organic change of negative 4.2% and organic CAGR versus 2019 of plus 9%. On top of this, we recorded perimeter impact of plus 4.3%, mainly driven by Courvoisier and a minimal FX impact of plus 0.2%. Moving on to the Americas. The Americas organic change was negative 6%. In the U.S., without the logistics delays I've already mentioned, performance was minus 5%. Apart from this, there was the impact of a highly volatile operating environment, which also led to further destocking in SKYY, Grand Marnier and Wild Turkey. Plus EspolÃ²n was impacted by tough comparison base and softness in the Blanco category trends. However, the underlying brand health remains solid. Aperol remained resilient despite a high comparison base of plus 15%, with a flat performance, but in sales out delivered nearly a 5% growth in the off-premise and a plus 12% in the on-premise. Jamaica recorded a plus 5% organic increase driven by Jamaican brands off a low base. Normalization of the local operating environment was supportive following the impact of the hurricane last year. The Dunder water treatment facility development is on track and will make us more resilient to future potential climatic shocks. The rest of Americas continued its solid performance in Q1 with plus 7% growth, excluding Brazil, mainly driven by Aperol and SKYY. Brazil was impacted by the high comp base of plus 77% last year. And if you look at the 2-year stack, Brazil has grown plus 24. This continues to show that the potential of our brands is truly widespread across the Americas. Moving to EMEA. We recorded negative 4% organic change, mainly due to the Easter timing, primarily in the core markets of Italy and Germany. Focusing in on Italy, net sales would have been flat, excluding the Easter impact. Aperol grew plus 2%, supported by dedicated activations. The brand health and strength in the portfolio remains strong. And looking at the sell-out for Aperol, 9 out of 12 EMEA markets recorded growth in this period, and 4 of them were delivering double-digit growth. Germany was also impacted by Easter and would have been flat, excluding this impact, driven by the core aperitifs despite a high comparison base of plus 25% last year. And in the U.K., we had a technical impact of the decrease in bulk whiskey sales that I just mentioned. And excluding this growth, we would have delivered plus 10%, again, driven by the aperitifs. In the other countries in EMEA, which contributed about 15% of our overall sales, we continue to show solid aperitif growth with plus 2% growth, mainly driven by GTR and Greece. And this was offset in Q1 by softer performances in South Africa on whiskey, cognac and the Netherlands, mainly due to a high base effect. Moving on to APAC. We saw solid growth of plus 11%. Australia grew plus 16%, driven by excellent execution in aperitifs during a peak season at the Australian Open with accelerated focus on on-premise 360-degree activations, and we'll comment more on those activations in the upcoming pages. Also, EspolÃ²n and EspolÃ²n RTD are gaining traction and growing rapidly. In fact, it became the number 1 tequila ready-to-drink in the country. In the rest of APAC, growth was plus 4%, with China contributing the most, benefiting from the prior route-to-market investment as well as positive trends in South Korea. As you know, most of the business has now moved to the House of Brands structure as of 2025. And as of Q1, we have now staffed all of the key positions within this model and are operating and reporting within this structure. So starting with the House of Aperitifs, we had resilient performance even with the Easter timing, resulting in a negative 1% change. Aperol remained flat, supported by solid plus 8% growth in the Americas, offset by the Easter timing impact in EMEA. The U.S. was flat, as I said earlier, despite the high comparison base of plus 15% with a 2-year stack at plus 7%, but positive sell-out data, as I've already commented on. The rest of EMEA remained resilient with plus 2% growth in Italy despite Easter timing and despite the high comparison base of plus 25% in Germany. For Campari, apart from the high comp base in Brazil, Easter timing in Italy and some softness in the U.S., the rest of EMEA was positive at plus 8%, driven by the acceleration in the Campari Spritz trend. Crodino, our non-alc continues to grow off a small base across EMEA, again, excluding the impact of Easter, it grew in Italy as well. And the rest of our aperitifs are growing nicely, supporting our leadership position in the aperitif category globally. In whiskey, the soft performance continued driven by a core U.S., offsetting solid growth in APAC and EMEA off a small base. And Russell's Reserve remains resilient in line with our premiumization strategy. Jamaican rums grew across all core markets off an easy comparison base on supply shortages last year. And here, the underlying trends in rums remain strong. In the House of Agave, EspolÃ²n was impacted by the decline in Blanco, mainly due to our discipline in promo and pricing in an uncertain environment ahead of tariffs as well as the logistic delays that I mentioned before. Excluding logistic delays, EspolÃ²n would have been around negative 1%. The Reposado on the other hand continues to grow very nicely. And the internationalization of the brand is gaining traction with a focused approach in key markets like GTR, Australia and Canada. Within the House of Cognac & Champagne, Grand Marnier again was impacted by the logistics delays as well as some destocking. And we're also maintaining a tight focus on pricing to protect our brand equity in a highly competitive market. Courvoisier, as you know, is still in perimeter and will be included in our organic growth in May this year. We've started to build the brand strategy, especially in the U.S. and U.K. On APAC, the definition of the plan is ongoing given the challenging backdrop. As I said before, this is an acquisition for the long term in a category that we believe in. And while it will take time to turn around, we have strong experience in the team and the Board, and we are confident in its potential. For the rest, I won't comment too much, just to note that 22% of our overall portfolio is currently classified as local brands given their geographic concentration. The main driver of the decline in other local brands was due to the reduction in noncore bulk and co-packing activities that I commented on before. And SKYY remains an important part of our portfolio, and there are some bright signs of growth in regions like the Americas and APAC. Now taking a step back from the quarter results, we also want to share with you what is happening internally in this period. As you can imagine, it's been a very busy period where I've been out with the teams across all of our regions and across many of our production facilities, listening to our Camparistas to better understand our brand and our business for the future. And this has been a truly inspiring period for me where I was able to understand even more clearly the strong culture, the dedication our teams have to the business and to the brands. And moving on to the next page, I'll give you an update on the strategic priorities we've been focusing on. Firstly, on our strategy definition, this period, apart from traveling and meeting the teams, we've also been actively working on building our strategic roadmap ahead, recognizing that it's been a pretty bumpy start to the year for everyone with the elevated flow of news. And in this process, our newly formed houses have been focusing on building our strategy in terms of consumers and brands, while the regions are focusing on the execution with our customers and our in-market activations. All of this is coming together to define our portfolio strategy and brand ambition for the long term with focus on our key brand-market combinations. Now once this is defined, it will allow us to more effectively decide on our investment needs and allocations. And this process is fully grounded in our areas of key competitive advantage. On cost containment, we are progressing and on track to achieve our target of 50 bps benefit in sales in 2024 and 200 bps benefit by 2027, leading to operating leverage and a margin accretive profile in structure costs. In fact, we have already started more than 70% of the actions to achieve these goals with benefits to be visible from H2 onwards as previously guided. As you can see from this chart, the SG&A growth has already slowed as of Q1, despite the low base from last year, and this will progressively continue to benefit in the remainder of the year. On portfolio streamlining, we've already started to take some steps, including the divestment of our local bottling plant in Australia with closing expected in mid-'25. We're also taking steps to streamline our agency brand agreements. And for the rest, the process is ongoing with timing of potential additional disposals to be determined based on optimization of potential proceeds, but I can say that conversations are progressing. Now before I hand over to Paolo to go through the financial review, let's have a quick look at some of the activations. For Aperol, we had 2 major initiatives in Q1. The first was our largest effort as part of our Australian Open sponsorship, and we executed 360-degree activations, not only in and around the event, but also across the city in many on- and off-premise locations. In fact, you saw the results in our sales growth. In addition, the cocktail sold during the event increased plus 25% compared to last year and it became the most sold drink during the event. Going forward, the on-premise focus with Aperol will, of course, continue in Australia. Secondly, we accelerated our deseasonalization efforts with our Alps takeovers that I mentioned on our last call. And as part of this, we activated more than 100 on-premise accounts in 24 ski resorts. Overall, more than 0.5 million Aperol Spritz were sold. And the activation was enhanced with multiple weekend experiences for influencers, journalists and on-premise customers and further amplified by out-of-home and digital media, reaching more than 8 million consumers. Again, as part of our deseasonalization effort, we partnered with the ICE event in St. Moritz, showcasing some of our brands like Aperol, Campari and Lallier. The big interest in our brands is a clear indication that the spirits trend works very effectively, both in the winter as well as in the summer. For Campari, the link with cinema continued to be enhanced with dedicated activations across multiple film-related events, including a continuation of the Berlinale partnership in Berlin, the Ostend Film Festival in Belgium. In addition, we had the SAG Awards in L.A. for the fourth time as the official spirits sponsor. So that gives you a flavor of some the activation. And now I'm going to hand it over to Paolo for the financial review. Paolo?
Paolo Marchesini: Thank you, Simon. If you follow me to Page 19, we can see that the EBIT-adjusted in value declined by 17.2% organically with a margin dilution of 310 basis points. Gross margin came in flat and was mainly driven by positive COGS evolution from supportive agave costs and other input costs, and that was offset by negative mix due to lower share of the U.S. profit with minimal contribution from pricing in the first quarter of this year. EspolÃ²n gross margin is now nearing group average gross margin in the first quarter. Notwithstanding the phasing of the top line with negative 4.2% organic growth of net sales, A&P has been stepped up in value by 2.4% with a 90 basis point margin dilution effect, mainly due to the accelerated on-premise activation for aperitifs, including deseasonalization efforts in EMEA and the investment to support the peak season in Australia. A&P to sales came in at 13.8% versus 12.9% in 2024. On a full year, we still expect to have A&P as a percentage of net sales within the range of 17% to 17.5%, so probably with a step-up that is 50% of what we've seen in first half. The SG&A grew by 5.1% in value and generated a dilution of 200 basis points as a percentage of sales, and that was impacted by a low base in Q1. We've seen before Q1, SG&A were up in value by 4%. And secondly, the bigger carryover effect from Q3 and Q4 of last year when SG&A grew in value by 11%. And thirdly, the muted top line with a negative 4.2% had an impact on the overall dilution in such a small quarter. On the other hand, as Simon has just said, the cost containment efforts are all on track, and we're expecting to deliver a positive impact in the second half of this year. EBIT-adjusted on a reporting basis was then down by 10.2% with positive perimeter effect of 2.5%, including the tail-end effect of the first-time consolidation of Courvoisier. The FX was positive by 4.6%, primarily driven by the devaluation of the Mexican peso. If we move on to the following slide, tiny operational -- operating adjustment of EUR 7 million, primarily attributable to the impairment of assets in connection with the disposal of the Australian plant. Total financial expenses came in at EUR 21.8 million, including exchange gains of EUR 3.4 million and financial expenses of EUR 25.1 million, aligned to the expected full year run rate. Last year, financial expenses were much lower, EUR 12.1 million in Q1 last year, but those included the benefit of interest income on higher cash position ahead of the closing of the Courvoisier acquisition, which occurred in May. The average cost of net debt in first quarter 2025 is 4.2% versus 3.1% of last year. But if we normalize last year coupon of the benefits on excess cash, which I've just mentioned, last year, coupon would have been 4.2%, therefore, comparable and stable vis-a-vis this year. Pretax profit adjusted came in at EUR 113.7 million, down in value by 22.4% and pretax profit reported came in at EUR 106.7 million. Net financial debt stood at EUR 2.460 billion, relatively stable, up EUR 83 million versus December end last year, still with the cash and cash equivalents accounting for EUR 587 million, down EUR 80 million, mainly due to CapEx initiatives and other commitments. Leverage ratio, net debt-to-EBITDA came in at 3.4x, marginally higher vis-a-vis December end, 3.2x. But here, clearly, deleverage will materialize in the back end of the year. I think Simon, this is it on the numbers. Floor is yours for the outlook.
Simon Hunt: Okay. Thanks, Paolo. So look, as you know, the current macroeconomic environment is not like anything we've already seen before, and we have very low visibility and it's still leading to economic pressure on consumers and uncertainty in the trade with connection with tariffs. In this backdrop, we remain prudent for the short term with focus on what we can control, which namely is effective balance sheet and cost management and commercial execution plus pricing discipline. Our focus is also on portfolio streamlining, and just to reiterate, we do not foresee any acquisitions. For 2025, the guidance we previously provided remains our target, but we do recognize that the visibility is low in this environment. The negative impact from tariffs is not included in guidance and is expected to be around EUR 25 million on EBIT in 2025 before possible mitigation actions. Regarding FX, the weakening of the U.S. dollar may pose some potential additional negative impact for the remainder of the year, which we are monitoring. Regarding medium/long-term outlook, we confirm our previous guidance, and we are confident for the future. As we mentioned before, we plan to come back to you with more details once we see a reduction in the volatility in the operating environment. So that's it for me and Paolo, very happy to open up to questions.
Operator: [Operator Instructions] First question is from Andrea Pistacchi, Bank of America.
Andrea Pistacchi: Thank you. Yes, good afternoon, Simon and Andrea. I have three questions, please. The first one is just, Simon, if you could explain a bit more the situation of shipments to the U.S. that you flagged. I mean some companies have flagged the higher shipments to the U.S. ahead of tariffs. But you're saying lower shipments in part because of the logistic delays, in part because of distributors' cautious attitude, they probably don't quite know how to think over the next few months. So what is driving the logistic delays? I think you said you caught up in April. And what will shipments look like in Q2 versus sell-out? Will there -- do you expect a catch-up at this point? And do you have enough -- have you been able to ship enough stock into the U.S. to, let's say, postpone the 10% tariff on Europe, at least until to the second half? Second question is on Europe, please. So EMEA had a slow start, but a lot of this was explained by the calendar effects that you flagged. April was strong. So how do you feel about the environment in Europe? As we go into also very much from a distributor point of view, how are they feeling? Do you think, as we start the key -- the peak season for aperitifs? And then for Paolo, you've touched on some of the margin drivers Paolo. Could you just put it together, give us a bit an update on the drivers of the margin outlook? Has anything changed versus 2 months ago in terms of the moving parts? I think you told us flat gross margin this year, aiming for A&P, some A&P reinvestment and as a positive, the 50 basis points SG&A benefit.
Simon Hunt: Great. Andrea, thanks for the questions. I'll take the first two and then Paolo will take the third one. Just on the first one on shipments in the U.S., the logistic challenges we had were a little bit function of the fact that we're trying to move as quickly as we can in a fairly uncertain environment. So to be fair to the supply chain team, we've been putting huge demands on to them to try and get things out the door as quickly as possible. We had four major areas that impacted that are included in the numbers. The first was a shipment of Grand Marnier out of France. It was delayed due to uncertainty on tariff paperwork. The second was on EspolÃ²n, which was a delay in pickup that rolled into April. The third was a key ingredient for American Honey that a supplier we had a challenge with. And the fourth was availability of glass on SKYY. So all of them are very clear. And as a result, that's why I'm quite comfortable saying, look, the underlying performance should really take those out. And when we look at the performance through April, we've seen a strong April across the board, really compensating to what do you see as somewhat weaker shipment pattern than we originally envisaged. In terms of asking your question through shipments through Q2, we are still in quite an uncertain environment. And so while we're working with the teams and we're confident on our plans and what we've got planned in the market, as you see, even at the announcement an hour ago is now changing some other views on what's happening with the tariffs and the macroeconomic environment. So I think the trade still remain cautious. In terms of, I think, your specific question on the stock going into a wholesale network, we are holding days at this stage. Some of our competitors, I know have been building more stock. We've been holding it. And certainly, on it, we'll continue to monitor it and respond accordingly. In terms of EMEA, I guess a couple of things. I'm hoping -- well, the good news is for Easter next year, I think I won't have to repeat it so many times as we go through what's going on with the numbers. But in terms of the overall performance, when you take that out, we've got some great sell-out performance across a number of the markets, including in a very important market in Italy, where we see positive trends coming through not only in terms of shipments on Aperol, but also on sell-out, which is encouraging. The data we've seen through April, I think is given generally, I'd say the market in Europe, a little more optimism that we're starting to see consumers coming back into the category. It's still very challenging, I just want to be clear, but ultimately on this more positively than we've seen in the past three or four months, which is encouraging. For us, it's a key season. We have the biggest plans we've done. We have the biggest push that we've done in terms of making sure that we executed brilliantly over the key season. And so we're monitoring it very closely. I think for the third question, Paolo, I'll pass back to you for the margins.
Paolo Marchesini: Yes. Vis-a-vis the margin, Andrea, the guidance we gave is fully confirmed. So basically, the level of gross margin, we confirm the fact that if you look at COGS, once we strip out the effect of volume and mix and price should directionally be positive because we still have a little bit of tailwinds on cost of agave particularly. On the other hand, clearly, the sales mix will be crucial in Q2 and Q3 when we have the peak season for the aperitifs. On the pricing front, so mix is, I would say, the question mark at this stage. Whilst pricing, we will still have a minimal contribution this year differently from the post-pandemic years. So good result, but on COGS, we -- on cost of goods sold as a percentage of sales, we're in a good spot. On the A&P, as you correctly pointed out, we intend to step up the A&P spend and fund this via containment of the SG&A as a percentage of revenues by 50 basis point in year 1 of the 3-year plan, which is aimed at achieving the 200 basis point SG&A as a percentage of revenues compression. The point is really vision of managing the phasing. We've seen the start of the year has been a little bit impacted in terms of shipment phasing due to Easter, logistics and few other things. And that, as you know, clearly had an impact on EBIT margin. But if you look at what is to come. Now on the A&P spend, clearly, Q2 and Q3 will be heavy, so we intend to exploit as much as we can the aperitifs peak season. And that is clearly an adverse element vis-a-vis EBIT margin trends. Vis-a-vis the SG&A, we've seen in Q1, SG&A has been up by 5.1%. We still believe Q2 in value, the SG&A will increase. So in H1, we will have a value increase of SG&A. But thereafter, in Q2 and Q3, we will go in negative territory vis-a-vis in value and, of course, as a percentage of revenues. So if you combine the whole thing, clearly, in the first half of the year, we will have a negative impact at EBIT level, and we will have a recovery in second half of the year. But overall, it's more managing the phasing of expectations than the full year results at this stage.
Operator: Next question is from Sanjeet Aujla, UBS.
Sanjeet Aujla: Hi, Simon, Paolo. Good performance. A couple from me, please. Firstly, can you just talk a little bit more about the pricing environment in some of your categories in the U.S., in particular, tequila and U.S. whiskey? Is it fair to say you're holding the line on pricing and that is driving incremental market share headwinds in those categories for you? And secondly, just on the -- coming back to Europe, can you just give us a feel for how the retailer negotiations have gone through the quarter? Have they all been concluded now? Or is there still anything significant outline there? And therefore, how are you feeling about the pricing/promo environment into Q2?
Simon Hunt: Sanjeet, yes, absolutely. I mean in terms of the pricing, the 2 categories you're talking about, I mean, I think you've got to recognize it is a pretty competitive environment out there. And so within tequila at the moment, you're seeing a lot of trading down from super premium into premium where we're playing, which is a good opportunity for us, but it's also making it pretty competitive. I think the comment I made in the kind of prepared remarks is very much within the Blanco category. We are seeing more price competition. And at this stage, given the uncertainty on tariffs and the impact on retail pricing, we are holding and not promoting and pushing as much as other people. So that's a conscious choice because we want to see how this plays out. In Reposado as well, given the growth we're seeing, we have seen what, 27% growth in the category. We're trending well in Nielsen, I think we're plus -- on top of my head plus 17%, 18%. As a result, we don't see the need to start competing on price in that space. So I think there's still a lot of uncertainty even with a bit more of the confirmation post kind of the view on tariffs, but it's still highly competitive out there. The second one on the U.S. whiskeys. Again, we think we need to be responsible and looking at pricing in the long term. It takes an awful lot of time to get these prices to where they are. And as a result, we want to be disciplined in terms of making sure that when we are promoting, we are getting the right lift on that promotion and not eroding the brand equity that's been built over many years. Again, highly competitive category at the moment. We'll continue to see how that progresses. I think in terms of the second question on European negotiations with alliances, we are done with all the major ones. I think we still have one smaller one still outstanding, but the conversations are progressing well.
Operator: Next question is from Mitch Collett, Deutsche Bank.
Mitchell Collett: Hi, Simon. Hi, Paolo. Just one question, please. It's great to have the clarity on the impact of tariffs. But just to be clear, is that an annualized impact? Can you confirm the tariff rates you've assumed on key geographies to get to that number? And what would be really helpful is, could you give us some color on what sort of level of mitigation is feasible?
Simon Hunt: Yes, absolutely. I mean, look, in terms of 25, we've assumed at this stage that the European brands, so sourced out of Italy and France are at a 20% tariff and we've assumed that the 10% tariff out of Jamaica. So that is the kind of the structure we've looked at. As you know, it's a dynamic environment and is changing daily. So ultimately, on this, we're very comfortable in terms of navigating this going forward. The team and I've been through this several times before. The key thing is we just need to know what they are and then we can plan around it. In terms of the 25, we're assuming about 10 is coming through from Italy, 10 from France and 5 from Jamaica to give you an idea of the split. And for 2025, it's not annualized. That's the balance of year. And as a result, we need to see what happens over the next couple of months with the various trade deals that are being discussed, and we can then look at what the impact may be in 2026. And in terms of mitigation, there are a number of routes we can go down. For me, the whole question around pricing comes into do you pass it on or do you not? Ultimately, on this, we need to see what the competition is doing as pricing is relative. So being transparent with you, we either pass it on to consumers where we've calculated what the on-shelf impact would be and the price elasticity potentially that it could have, but that also depends what our competitors do. The second part is maybe we hold pricing, and we'll decide that we're going to go after more market share in the category. So at this stage, we're going to see how things progress, but we've worked out a bunch of different scenarios based on where we end up on the actual percentage.
Mitchell Collett: That's very helpful. But just to be -- to make sure I understood you correctly to get from the 25 to a full year impact? Is it -- are you looking at sort of 9, 12? Or is that sort of seven months impact? How do we get it to a full 12 months?
Simon Hunt: We're assuming it will be from April 8 going forward. So there's some mitigation of stock we already have in market, and that's our best estimate at this stage. But as we said, it is a bit of a moving piece at the moment. So hopefully, that explains.
Operator: Next question is from Simon Hales, Citi.
Simon Hales: Thank you, so couple for me, please, Simon and Paolo. Firstly, can I just quickly confirm on the logistical delays that you had in Q1 that we should expect to see the full recovery of that in Q2? Or could some of it slip into sort of for the second half of the year? Secondly, just on the overall outlook for the remainder of the year. I mean, Simon, you've maintained the full year guidance you set back at the Q4 stage, but you've clearly flagged in your remarks the tougher trading backdrop or the uncertain trading backdrop, should I say, and the visibility is low. Should I infer from those comments that as you think about underlying consumer offtake trends for the remainder of the year now, you're perhaps a little bit more cautious than you were at the Q4 stage because you've got your hands around some of the controllables in the business, particularly on the cost side that, that still means that you're very comfortable in hitting the profit numbers that you thought you might be able to deliver back when you set that guidance at the Q4? And then thirdly and finally, obviously, a very strong performance in Asia in Q1. You talked about some of the drivers of that. How do we think about the sustainability of that sort of growth rate as we move into Q2 and beyond? I appreciate we're coming out of the summer months in Australia, et cetera.
Simon Hunt: Hi, Simon, yes, I think in terms of the logistical delays, I think we've already picked up quite a lot of those just coming through and literally, it was just what was recognized in March as opposed to shipped in April. For the ones that we have, I anticipate will be -- we should have that fully recovered through Q2. And I don't anticipate they're going beyond that. So that's the first one. The second one in terms of more cautious the year, we're more optimistic, I think your crystal ball is as good as mine, if I'm totally honest with you, we're dealing in an environment that no one has really seen. And so what we are looking at is a balance of the guidance we've already given and our ability to manage both the risks and the opportunities that we see in the business. So I would say our guidance stays as is, not a little more cautious and a little more optimistic. I think it's just a case of recognizing the fact that it is a challenging environment and that we need to focus on the execution and maintaining the pricing discipline that we've shown so far. So that's more where my kind of view in terms of holding it and when Paolo and I are looking at it, to say, look, that's where we think we can manage through the balance of the year. In terms of your third question on APAC. As you know in APAC, we made quite a few changes last year in terms of route to market and teams and various other things. APAC, the performance in Q1 was led by a really positive performance in Australia, plus 16%. Our shift to a more on-premise focused model is starting to really start to build the acceleration that we have in that market. Outside of that, what's encouraging is we're seeing some very good performance in some of the smaller markets as well. So at this stage, we saw strong performance in China. We're seeing some excellent execution on Aperol in Thailand, in the Philippines, in Singapore, in Indonesia. So I think we're starting to see a more predictable base and building the brands up in a way that I think Campari does better than anyone else.
Operator: Next question is from Richard Withagen, Kepler.
Richard Withagen: Good evening. I have two questions, please. First of all, where are the main priorities in the short term when it comes to execution? Is that more on the commercial side or more on operations? And then the slightly longer-term question also on strategy. As you refine the strategy and get clearer about strategy execution, what capabilities and investments are needed for the business in the longer term? Is that more supply chain, more marketing, technology?
Simon Hunt: Yes, Richard, great. Look, the focus on execution at the moment is all of the above in the environment we're in, which means we need to be as efficient as we can in the operations area. We need to, from the commercial side, making sure that we are executing brilliantly at the point our consumers are looking for our brands in both the on and the off-premise. And from a marketing point of view, we've got to make sure that we're creating that desire at the key moments where consumers are looking for one of our brands. So it's across all of them. And what we're really putting through there is making sure that where we're committing to doing something that we're doing it as efficiently as we can. So the focus on execution is really across the board, the balance of how do we make sure that we're delivering the top line growth for execution, but also managing the cost containment that we've already flagged as well. I think the second part is looking at the strategy going forward. Ultimately, on this, the strategy drives the structure and drives the capabilities that we need. We're busy in that at the moment, working through with the House of Brands and what we think we can do with the portfolio and then seeing what the implications are for how we want to take the business forward. Clearly, at this stage, I think it would be too early to comment on where we see, but a couple of comments just on your question. We're in a great position. The extraordinary CapEx program that has already been put in place means that we have the capacity in our production units to be able to cope with an accelerated growth. So we would not have to put in an exceptional CapEx program to meet that capacity. We're already there, which is great. The second thing is the team and Paolo have invested aggressively in our IT infrastructure. We have a great systems platform that I think we can do a lot with going forward, which would be incremental versus a soup-to-nuts rebuild of an IT system. So certainly on those 2 key enablers, we're in a position where the previous team has invested wisely and carefully. So we're in a position that we can take advantage of that. When it gets to A&P and the market combination, being very simple on this, it depends what we want to do. And so we need to work through that. And once we've done that, we'll be much clearer around what we think is the requirements for A&P to execute the strategy that we now want to pursue.
Operator: Next question is from Trevor Stirling, Bernstein.
Trevor Stirling: Hi, Simon and Paolo. I have just two broad questions. The first one, when you look at some of those numbers, it's pretty sobering reading. Aperol flat, EspolÃ²n down 5%, Campari down 5%. And even if you adjust for the technical -- your underlying growth of minus 1%, it's not -- it doesn't set you on fire to say the least. And for 3 quarters, we've been encouraged to look at the sell-out data, which looks much better than the sell-in data and here we are in the third quarter. So you sound much more confident that those numbers look. So what gives you that confidence that we're going to see a recovery? And the second question for Paolo. Your 200 bps of growth, Paolo, over the 3-year period, what level of underlying growth do you need to make that? Because I'm sure you've got some operating leverage on all the investments is built into that 200. So what level of growth do you need to hit in order to deliver that 200?
Simon Hunt: Trevor, yes, look, good questions. I mean in terms of -- from the performance through Q1, yes, I recognize where we are in terms of the numbers. But I think the key thing for me is we've got to focus on sell-out. And we've got to make sure that, that is where we build the long-term health of the business. And against the sell-out trends, I recognize the sell-in, not a great story on sell-out, if you see, we are outperforming the market in most of the markets we're competing in. So even in the U.S., we're only plus 5% in the off-premise in a market that's down 3%. In Germany, the market is down 1%, we are plus 8%. In the U.K., we're plus 13%. So I think there's an element of kind of our shipments versus our sell-out and the coordination on that. And so that's probably what's driving a bit more of my confidence that ultimately, the success of the business is driven by sell-out, not by sell-in. Certainly that's one thing. I think the second thing is that the more I get into the business, the more I see the opportunities that the team are going after and in terms of managing the business. And whether that be the distribution targets they're putting in, the quality of the programming that we put into the market or the focus on execution, it doesn't mean it's going to be an easy sale by any stretch, but I feel more confident that we are very clear as to where we are going to find the growth even in this tough market. So Paolo, over to you.
Paolo Marchesini: I think the -- our ability to recover -- aside of positive sales mix, that is clearly a different story. If we manage to deliver the organic growth that is embedded in our mid- to long-term outlook, we would absorb the 200 basis points short vis-a-vis pre-pandemic. So the mid- to high single digit is what we're looking for. Clearly, any acceleration of aperitifs portfolio would clearly help us fill the gap sooner than that.
Operator: Next question is from Chris Pitcher, Redburn.
Chris Pitcher: Hey. Good evening, Simon and Paolo. A couple of questions from me. Firstly, on the SG&A savings. I mean, given your comments around Asia and the strength in some of the smaller markets there and obviously, the importance of the U.S., is it fair to assume that the bulk of those savings will be coming out of EMEA? And if anything, you'll be looking to invest in sales and distribution strength across Asia? And then secondly, on the U.K. There's a lot going on in the U.K. at the moment. You had a depressed year last year because of supply constraints from Jamaica. But it turns out that it looks like there was some quite decent amount of bulk sales. Can you give us an idea of what those bulk sales were in the U.K.? And was it just limited to the first quarter? And then finally, maybe one quick question. The Courvoisier contribution looks to be a bit better than expected. Is that underlying performance? Or was there a bit of sales contribution from shipments ahead of tariffs? Sorry, it was 3 rather than 2.
Simon Hunt: Chris, yes, look, I think in terms of the SG&A, I don't think it's so much around the different regions. Ultimately, on this, what we're trying to find is the right balance between the organizational design and what we're trying to achieve. And so that's what we've been working through. And again, this was announced before I got here. But the execution that we're going through is really focusing on that across all levels of the organization. It's not in one particular region to fund something in one of the others. It's also looking at where we're resourced from a local, regional and global basis, and it's across all functions. So to answer your question, it's not about managing the SG&A to dramatically expand in Asia. We already have a pretty good footprint in Asia, and we also have a partnership model, which allows us to then build the brands in those markets. At the point they reach critical scale that we want to build our own facility or our own capability, we can review that then. But I don't anticipate a significant shift in terms of SG&A between different regions at this stage. You are right in the current environment, particularly focusing on the front end of the business and making sure we're executing brilliantly has been a big part of the focus. I think the second question in terms of the U.K., yes, there's a few things going on there. We're cycling off the supply challenges from last year. On the bulk sales, actually, I think this was a -- I don't know the detail brilliantly on this one, but it was a contract with my old company, William Grant and I think Salco to buy bulk whiskey from Glen Grant. And that I don't think will be repeated. And I think it was more a timing issue than an ongoing impact each quarter. So I think they are the first 2. And what was the third one?
Chris Pitcher: It was just on Courvoisier. I think it came in a bit better than expected. Is that the brand? Or was it just there's some phasing issues there?
Simon Hunt: I think, look, as we start picking up the brand, we're finding some opportunities that given the new ownership in the U.K. and the U.S., we're going after. I think -- it is a very tough category in the U.S., as you know, it's trending what down 14.7 at the moment. The brand is holding its own there. But certainly, the excitement just having been in the U.K. office last week for the brand and the plans that we've got was very tangible. And so I think we're seeing just, I think, a bit more enthusiasm around the potential.
Operator: Next question is from Edward Mundy, Jefferies.
Edward Mundy: Good evening, Simon and Paolo. So a couple for me, please. The first is perhaps one for Paolo, just on currency. Obviously, the euro has been quite strong versus the dollar or certainly the dollar being quite weak versus the euro. Are you able to share what your expectation is on translation and possibly transaction for the balance of this year from a currency standpoint at EBIT? The second is on the sort of U.S. consumer environment, and I think, Simon, you are sort of alluding to some bumpiness and low visibility, which I think is more on the U.S. side of things. Could you perhaps share with us how well penetrated small pack, i.e., 375 and below is amongst your portfolio? I know you can get Aperol in 375, but perhaps a little bit of color on the 375 and below opportunity for your business within the U.S. And then third of all, EspolÃ²n RTD, which I think is more Australia and Canada at this stage. Is this something you might go into with the U.S.? Or is that RTD market a little bit competitive at this stage to think about launching EspolÃ²n RTD there?
Simon Hunt: Okay. Paolo, do you want to take the first on currency?
Paolo Marchesini: Yes. On currency, clearly, we are exposed to Mexican pesos from imports in the U.S. from pesos that is creating on one hand positive impact on the P&L. On the other hand, is helping us fill the gap in terms of gross margin on EspolÃ²n vis-a-vis average. For the full year, we're expecting bottom line positive contribution of flattish on top line on FX and positive contribution on the bottom line, low single-digit percentage on FX. Clearly, most recently, the U.S. dollar has deteriorated versus the euro, and therefore, it's contribution for the remainder of the year will be less evident.
Simon Hunt: Okay. And then two questions on the U.S. consumer. On the small pack one, I think, ultimately on this, the team's focus at this stage on driving the availability of our main brand sizes. It doesn't represent a big part of our business at this stage. I know in a more challenging economic environment, quite often you see a trade down to sizes and some other people are talking about the opportunities there. We do see some opportunity, but it's not quite as pronounced for the brands that we have at the stage of development of something like Aperol, where, again, half of America is still not even heard of this brand. So to offer in a 375 would be a bit early. The team is focused on driving the availability of that. We'll continue to review the pack size opportunities, but it's not something we're racing to at this stage. Your second question on the success of EspolÃ²n in Australia. Look, it's really early days. Australia is a very competitive market as well, but it's exciting to see for us to take a leadership position in such a short time, really shows the quality of the appeal of the branding and also the liquid. I think looking at the U.S. market of RTDs, it's got very crowded very quickly. If we were to enter, we'd really think hard about how we want to do it to ensure that we are successful and be able to replicate some of the early wins we're seeing in Australia. So I think we'll continue to learn at this stage and then review the opportunity going forward.
Operator: Next question is from Celine Pannuti, JPMorgan.
Celine Pannuti: Thank you and good evening. I just have one question. Given what you said in April, is it possible for you to give us a year-to-date growth? Trying to understand how much of a bounce back you see in April? Or in other word, I mean, do you expect Q2 to be positive given as well you have quite a tough comp from last year?
Simon Hunt: Yes. We're not going to give year-to-date growth today. I think in terms of Q2, Paolo has already kind of given some indication on that, that we are looking at positive growth through Q2. But yes, we're not giving a year-to-date growth at this stage.
Operator: Gentlemen, there are no more questions registered at this time.
Simon Hunt: Okay. Great. Well, listen, thank you, everyone, for joining today. If there are any other questions, certainly, we're very happy to follow up with those afterwards with Gulse, Chiara or with Paolo and myself directly. Let us know and talk to you in 12 weeks' time. Thanks very much.
Paolo Marchesini: Bye-bye.
Simon Hunt: Bye-bye.
Operator: Ladies and gentleman, thank you for joining. The conference is now over. You may disconnect your telephones.